Operator: Good morning. My name is Marcella, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Terex Corporation TEX Q1 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Brian Henry, you may begin your conference.
Brian Henry: Good morning, everyone, and thank you for participating in today's first quarter 2019 financial results conference call. Participating on today's call are John Garrison, Chairman and Chief Executive Officer; and John Sheehan, Senior Vice President and Chief Financial Officer. Following the prepared remarks, we will conduct a question-and-answer session. We've released our first quarter 2019 results, a copy of which is available on terex.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of GAAP to non-GAAP financial measures that we will use during this call and is available on our website. All adjusted per share amounts in the presentation are on a fully diluted basis. We will post the replay of this call on the Terex website under Events and Presentations in the Investor Relations section. Let me direct your attention to Slide 2, which is our forward-looking statement and description of non-GAAP financial measures. We encourage you to read this, as well as other items in our disclosures, because the information we will be discussing today does include forward-looking material. With that, please turn to Slide 3, and I'll turn it over to John Garrison.
John Garrison: Good morning, and thank you for joining us and for your interest in Terex. First, I want to thank our global team for their continued focus on our customers which enabled our overall strong start to the year. Our Q1 performance represents a significant improvement compared to last year. The dramatic increase in operating profit and earnings per share versus the results we presented in Q1 2018, clearly demonstrate the value of implementing our strategy. Building on an excellent 2018, MP increased sale and expanded operating margin again in the first quarter. MP’s global markets remains strong and backlog continue to grow, up 17% on an FX neutral basis. AWP markets got off to a slower start than last year, but gained momentum throughout the quarter. AWP is well positioned heading into the main selling season with backlog of $1.1 billion. The global markets for AWP, MP and towers and rough terrain cranes are generally stable at healthy levels consistent with 2018. Turning to Slide 4. The Terex strategy continues to be focused on portfolio on great businesses. Simplify the organization, and improve the capabilities needed to win in the marketplace. The transition to a more focused two segment structure combined with the significant progress we made improving processes, tools and leadership talent in our priority areas enabled us to refine our corporate operating model. Each functional areas moving forward with plans will build upon the progress already made and deliver essential services in the most efficient manner. We are transitioning to a simpler operating structure that will reduce corporate operating expenses. Implementation has started in some areas and will continue throughout 2019. Turning to Slide 5, we continue to make progress implementing our strategy. The sale of the Demag Mobile Cranes business is progressing on schedule subject to customary regulatory approvals, we continue to expect this transaction to close by mid-year. We completed the wind down of our mobile crane production in Oklahoma City and sold the Boom truck, truck crane and crossover product-lines. We are working closely with Tadano and Custom Truck One Source to ensure a smooth transition for our customers. We’ve remained committed to the Rough Terrain and Tower Crane product-lines in North America and around the world. We are investing in our parts and service organization to support our customers into the future. The resegmentation announced in February is complete and reflected in our financial results and operating structure. Terex Utilities is now in the AWP segment and the Pick and Carry Crane business has transitioned to MP. Our Global Rough Terrain and Tower Crane businesses are included in Corporate. We continue to execute our disciplined capital allocation strategy by investing in innovative products and services and global manufacturing capability. MP announced the new UK manufacturing facility where it will manufacture the Terex Ecotec Waste Management and Recycling product-lines and Terex Mobile Conveying Systems. This is part of MP’s strategy to add capacity to meet growing demand and simplify its operations. These are new adjacent businesses that MP has created that leverage its engineering and distribution capabilities. The new utilities manufacturing facility in South Dakota remains on schedule despite some severe weather conditions in the quarter. Our commercial excellence teams are focused on improving the customer experience and driving process discipline. Another area we are focused on is improving process and tools for the dealer channel as dealers represent an important part of our overall distribution strategy. Finally, our strategic sourcing teams in each of our manufacturing facilities are making progress implementing their Wave 1 savings. Wave 2 savings are being identified and detail plans including the ability to fast track certain categories are being developed. We continue to expect savings of approximately $35 million this year. Turning to Slide 6, while we are maintaining the full year 2019 guidance that we provided in February, as a result of our strong start, we now expect to be in the upper half of the $3.60 to $4.20 EPS range. With that, let me turn it over to John.
John Sheehan: Thanks, John. Let me begin by reviewing our Q1 segment highlights. AWP totaled $728 million in the quarter. Volume in North America was impacted by customers postponing some deliveries until the second quarter and the weeklong weather-related closures at our Washington State production and distribution facility in February. EMEA revenue was down modestly on currency and delivery timing, while AWP sales grew in Asia-Pacific. AWP’s operating margin in the quarter was impacted by the strength of the U.S. dollar, particularly against the euro which represented a significant headwind in Q1. Lower factory productivity due to a decrease in overall production volume including the plant closures also impacted margins. Backlog was stable at $1.1 billion, positioning the segment well entering the strong selling season. Materials processing is a consistently strong performer evidenced by another excellent quarter. Sales were $346 million, up 10% or up 15% on an FX neutral basis driven by continued strong global demand for crushing and screening products, material handlers, and pick and carry cranes. The MP team increased year-over-year operating profit by 33% and expanded its operating margin by 250 basis points on an adjusted basis. These results were driven by improved operating performance across the portfolio, and effective price cost management. Backlog continue to grow, up 11% to $499 million, up17% on an FX neutral basis. MP is well positioned across its portfolio of businesses to deliver excellent results again in 2019. So Rough Terrain and Tower Cranes businesses that are now reported in Corporate performed in line with expectations in Q1. For reference, we added quarterly 2018 continuing operations financial information that reflect the new segmentation to the investor relations section of Terex.com. Let’s turn to Slide 8 to review our consolidated results. Total sales of $1.1 billion were up 2% or 6% on an FX neutral basis. MP’s strong performance more than offset AWP’s slow start to the year leading to a 40 basis point increase in as adjusted operating margin. Investment in our Execute To Win initiatives and restructuring-related charges were the primary differences between our as reported and as adjusted operating profit. Net interest expense increased $9 million year-over-year resulting from increased borrowings and higher interest rates on floating rate facilities. On an as adjusted basis, we generated earnings per share of $0.87, $0.02 higher than the prior year on a comparable basis. However, this EPS result is 58% better than the $0.55 as adjusted EPS we presented in Q1 2018, clearly demonstrating the impact of our strategy execution. Looking forward, we anticipate the distribution of the remainder of our 2019 earnings per share to be approximately 40% in Q2, 35% in Q3 and 25% in Q4. Turning to Slide 9. We continued to deliver on our commitment to follow a disciplined capital allocation strategy. As expected, we consumed more cash in the first quarter than the prior year period. Higher inventory was a significant contributor. Several factors are driving inventory levels including timing of customer deliveries, demand growth in certain MP businesses, engine pre-buys, and Brexit-related risk mitigation actions. We expect inventory levels to decline over the next several months and normalize in the second half of the year. We continue to invest in our Execute to Win priority areas. Although the level of investment will taper off over the course of 2019, as our internal capabilities mature. Finally, we increased our quarterly dividend by 10% to $0.l1 per share. The Terex team has and will continue to generate shareholder value through the execution of our disciplined capital allocation strategy. And with that, I will turn it back to John.
John Garrison: Thank you, John. Before reviewing our segments, I’ll spend a few minutes discussing the recent Bauma Show in Munich Germany. Bauma is the world’s largest tradeshow for the construction and mining equipment industry with over 600,000 visitors from around the world. Terex had an outstanding presence and success at Bauma. We showcased our products and service innovation, including our extensive line of industry-leading hybrid and electric power equipment and our suite of telematics solutions. Over 40% heavy equipment we displayed was launched since the last Bauma. We featured our Genie line of hybrid booms and scissors under the banner of Genie Blue is your New Green. As environmental regulations continue to shape demand around the world, Genie is leading the way with equipment that enables operators to work safely and efficiently while being respectful of the environment. MP showcased its OMNI by Terex tablet-based control system using IoT technology, the OMNI system will revolutionize the crushing and screening job sites by enabling a single operator to control the entire equipment chain. This will improve safety and productivity and further differentiates our MP product-line. Our Tower Crane business showcased its T-Link and T-Lift innovation. T-Link is an advanced system that allows multiple cranes to work in tandem. T-Lift is a built-in elevator system that safely lifts the operator to their cabin. Both of these innovations improve operator safety and productivity driving higher customer return on investment. In addition to showcasing our new products and services, Bauma provided the opportunity to speak with a diverse cross-section of customers. They express the consistent level of positive sentiment. There is pent-up demand for infrastructure investment across the developed markets and tremendous potential in the developing economies from construct ion growth and adoption of aerial work platform and material processing solution. Terex is well-positioned to grow on both fronts. Bauma was a great show. I was proud of our Bauma team from the core tradeshow team that executed the event, but the sales and support team members that worked the show. Terex’s passion and commitment was clear. Turning to Slide 11, I will review AWP. The global markets for Aerial Work Platforms remain generally stable at healthy levels and the North American utility market remains strong. The North American metal market was impacted by severe weather in several major markets in the first quarter leading to delayed equipment deliveries. Our customers are maintaining their positive outlook for the balance of the year and we started to see order and delivery rates increase in March. Overall demand in Europe is stable with pockets of growth including strong demand for our electric booms and scissors. AWP continues to make inroads in the Asia Pacific region fueled by increasing product adoption. To support our growth in Asia, we are expanding our Terex Financial Services capabilities in the region. While bookings in the quarter were lower than the exceptionally high level in Q1 2018, with $1.1 billion of backlog, AWP is well positioned heading into the strong selling season. A key to improving margins in 2019 is the execution of our strategic sourcing plan including transitioning significant volume to new suppliers. The implementation process is gaining momentum as the teams complete the inspection and testing required to transition parts to new suppliers. This initiative is important for AWP as most of the $35 million savings objective for 2019 is in this segment. In January, Genie opened another chapter in its history of innovation with the launch of its Lift Connect Telematics Solution. Lift Connect will convert data into actionable information. This customized solution delivers benefits to small fleet operators and large national rental companies by providing tailored information to increase operator safety and prove up time and reduce maintenance cost. In short, Lift Connect is designed to increase customer ROI on Genie equipment. For the first time, we showcased a complete line of our new extra capacity boom from 40 feet to a 135 feet. It is impair to our customers that Genie is leading the industry with XC Innovations. Turning to Terex Utilities. The team continues to execute well in a stable market environment. Now that Utilities is part of the AWP segment, we are accelerating cross-selling benefits. We are leveraging our network of Utilities service centers across the country to service AWP customers. This will improve customer service while increasing parts and service revenue. The new state-of-the-art production facility remains on track. The site will manufacture and install aerial devices, digger derricks, and auger drills. By consolidating from ten facilities to one, Terex Utilities will significantly improve productivity, reduce lead times and increase capacity. Both our Aerials and Utilities businesses are well positioned heading into the second quarter. Turning to MP. Materials Processing is a high performing segment that consistently delivers strong results and meets its commitments. Global demand for crushing and screening equipment remains strong. Construction activity, aggregate consumption and environmental regulatory change are the main drivers. The global market for material handlers also remains strong fueled by robust demand for scrap field. And our Pick and Carry Crane business continues to execute very well in a strong Australian market. The MP team continues to make progress in the emerging markets or environmental, and mobile crushing and screening equipment. In India for example, new highway construction reached an all-time high last year and is expected to continue to grow. Indian contractors are just beginning to fully appreciate the flexibility and productivity that mobile crushing and screening equipment provide. Better trucking materials over long distances, mobile equipment and process material close to the construction site providing a significant benefit for the contractor and significant growth opportunity for MP. We have a strong foundation in India including an excellent team at our Hosur manufacturing facility just outside Bengaluru. To support the growth prospects in India, and the surrounding markets, we are expanding our manufacturing capacity in Hosur. The expansion is underway and will be completed over the course of 2019. MP operates several facilities in the UK. Our guidance assumes there are no major disruptions associated with Brexit. We continue to monitor events as the Brexit process unfold and we will continue to take precautionary measures to mitigate potential supply chain disruptions. I expect our global MP team to continue to execute at a high level and deliver on its plans again this year. Turning to Slide 13. To wrap up our prepared remarks, MP started the year strong and AWP picked up steam during the first quarter. We are executing our strategic plan to focus the portfolio on high performing businesses, simplify the organization and build capabilities and our Execute to Win priority areas. We expect to significantly improve our financial performance again in 2019. As a result, we expect to be in the upper half of our full year EPS guidance range. We are confident in achieving our 2020 objectives of 10% operating margin and greater than 20% ROIC. Finally, we will continue to follow our disciplined capital allocation strategy and create additional value for our shareholders. With that, let me turn it back to Brian
Brian Henry: Thanks, John. As a reminder, during the question-and-answer session, we ask you to limit your questions to one and a follow-up to ensure we have time to get to everyone. With that, I'd like to open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Ann Duignan. Your line is open.
Ann Duignan: Hi, good morning. It’s Ann Duignan.
John Garrison: Good morning, Ann.
Ann Duignan: Morning. Maybe you could address the free cash flow negative $207 million versus your guidance for $105 million for the full year. And it’s confusing now to have the Slide 3 theme in the presentation. But what happened we are still looking for three tenths from $165 million for full year should we change that?
John Garrison: Thank you for the question and yes, we are looking for free cash flow for $165 million. I’ll have John go through that in greater detail. But just a commentary to start that. I would just say that improving net working capital and increasing free cash flow is one of the highest priorities of our leadership team. As we take a step back and look at implemented our focus, simplifying the Execute to Win strategies, we have made great progress on our 10% operating margin target or 20% ROIC target with deployed capital back to shareholders of greater than $1 billion. The one area that we have not made the level of improvement that we need to make and that’s why it will continue to be a focus for us to drive improvement is our free cash flow conversion to net income. So we fully acknowledge. We are not happy with our Q1 results on free cash flow, but I’ll have John kind of walk through where we are and then reaffirm the $165 million free cash flow target for the year. John?
John Sheehan: Yes. Thanks, John. So – and, when you look at the free cash flow, the negative free cash flow in Q1, it was larger than Q1 of 2018. And that was principally the result of the higher inventories in the second half to the last year. Especially in the fourth quarter, in a tight labor market in the second half of last year, we were leveled loading production especially in our AWP facilities in North America and we did see lower revenue than expected. So, as the inventory levels grew, we did pay suppliers for a large portion of the material that we manufactured in the fourth quarter in the first quarter in accordance with our payment terms with our suppliers. As we indicated in our prepared remarks, we do expect that we’ll sell down these inventories during the upcoming spring and summer selling season and we are not replenishing the stock levels to this same degree. When you look broader at working capital, we have also made very good progress as part of our strategic sourcing initiative with respect to our payment terms with suppliers for accounts payable. Our accounts receivable collection efficiency is much better than it was. So, but we acknowledge, we have work to do on the inventory side. We are getting after the inventory levels and I want to be very clear with you, we are absolutely committed to and are reaffirming the 2019 free cash flow guidance of $165 million.
Ann Duignan: Okay. Thank you. I appreciate that. Maybe you could talk a little bit about the cadence of the free cash flow then going forward I wanted to be at paying those inventories turning into cash in Q2 or the back half of the year.
John Sheehan: We will be – so the inventories will be sold down during the second quarter and into the early third quarter as part of the spring summer selling season and that we will be – we expect to be, I guess, I should be a little bit less dogmatic. We expect to be free cash flow positive in all three quarters of the remainder of the year.
Ann Duignan: Okay. I will get back in line in the interest of time. Thank you.
John Garrison: Thank you, Ann.
Operator: Your next question comes from the line of Steve Volkmann. Your line is open.
Steve Volkmann : Hi, good morning guys. Maybe just a quick follow-up there.
John Garrison: Good morning, Steve.
Steve Volkmann : The inventory build, was it more weighted to AWP and MP?
John Garrison: Yes. It’s, as I indicated, the primary inventory build, it was also in MP, MP inventories are also up. But the majority of it is in the AWP’s facilities and in AWP North America.
Steve Volkmann : Okay, thanks. And then, obviously, the reduce that you are going to have from lower production levels I guess, going forward since you produced less than retail demand. I assume that underabsorption into your forecast?
John Garrison: We have, Steve, you are correct. We have reduced to the production level for our Aerial Work platform segment, especially here in North America in early 2019 and the guidance including the expectation for being in the upper half of our guidance range that we indicated today is factored into that thinking.
Steve Volkmann : Okay, great. And then, just a final one on that topic. As you shift, I think, one of the Johns mentioned a significant transition to new suppliers in AWP as part of your strategic sourcing. Does that require some kind of bridge inventory build? A and B, is that a risk if you are moving a lot of suppliers that there is a hiccup here that interrupt some production?
John Garrison: Thanks, Steve. As we indicated, the team is implementing our Wave 1. It is a sizable number of parts that are changing, not necessarily new suppliers, it’s actually consolidation of suppliers. There is bridge inventory that you have to put in place to ensure that you don’t create disruption on the line. So that is a portion of the increase in inventory, but the teams have been planning for that as we move through the implementation of Wave 1.
Steve Volkmann : Okay. Thank you.
John Garrison: Thanks, Steve.
Operator: Your next question comes from the line of Jamie Cook. Your line is open.
Jamie Cook : Hi, good morning. Just wanted to get…
John Garrison: Good morning, Jamie.
Jamie Cook : Good morning. You didn’t necessarily give segment margin guidance like we did in the prior guidance. So, can you talk about your comfort level with the Aerial Work Platform margin guidance that you gave in the last quarter, given where we started off in the first quarter and how much of the net – what – if you can help us understand how much weather impacted the first quarter within Aerial? So, I guess, it’s my first question. And then my second question is, just obviously the quarter came in much stronger relative to the Street and what you had implied with the guide you are saying, I mean, Aerial was weaker. The Corporate and Other you said was in line. Materials Processing didn’t beat by that much. So I am just trying to understand what surprised you in the first quarter relative to what you initially anticipated? Thank you.
John Garrison: Okay. A lot there, Jamie. So let me start with – on the AWP side. Let me start with a market – kind of a market commentary and then I’ll have John speak to the margin activity. So, as we said in our opening comments, the global markets are stable at healthy levels. And there is overall positive customer sentiment. And as we enter into the primary selling seasons of Q2 and into the summer it was a $1.1 billion backlog. We feel pretty good about where we stand in AWP. The North American rental channel is, customers are seeing their end-markets remain strength. We are seeing good utilization and good rental rate improvements on a year-over-year basis. So, that market seems as we say stable at healthy levels. In Europe, we are seeing that relatively flat overall in terms of our backlog. But as I indicated in my comments, we had a lot of positive sentiment with customers at the Bauma Show. And then, you will see in the results is substantial increase in our sales in Asia Pacific region. And a lot of that is from our AWP business. Our growth in China and other Asia markets has been great. Our year-over-year growth in China is north of 40%. Granted it's off a relatively small base, but nonetheless, we are seeing continued growth there. And so, we think that market and the other Asian markets based on the strength of construction and increasing product adoption are going to continue to provide a strong underlying background for demand. And so, that’s the market commentary and how we are seeing global AWP and John, could you comment on the Q1 margins and margin outlook?
John Sheehan: Sure. So, as, when I think about the Q1 margins in AWP, I think there is really four factors that should be addressed. The first is FX and that really was the largest headwind year-over-year that the segment was facing. The euro was considerably lower today than it was in Q1 of 2018. Q1 of 2018, the average Euro/Dollar exchange rate was $1.22 to the Euro and in Q1 of 2019, $1.13 to the Euro. We do ship a significant portion of our products for the European market from the United States and form China and as a result, the decline in the Euro was a significant headwind. In fact, if you take both the transactional FX effect as well as the translational impact – FX impact, that was a impact in excess of $10 million year-over-year on the segment. So, we do expect that that headwind will normalize over the course of the year as the euro did decline over the first half of 2018. Second factor was the factory productivity. We did have the lower absorption rates from the lower volumes that we have in our North American facilities here in the first half of 2019 as well as the factory closures that we had especially in the State of Washington in February from the winter storms in the Northwest. Third factor, price cost for the segment was actually a slight positive with the favorable price increases in the first quarter of this year. That were largely offsetting the cost increases that we experienced in the second half of 2018. Fourth factor, strategic sourcing, as we have talked about our strategic sourcing initiative will drive $35 million of savings for the company year-over-year with the majority - significant majority of those savings coming from the AWP segment. Those benefits are going to ramp up over the course of the year. So that, they were a smaller portion of the benefit in the fourth quarter – I am sorry, in the first quarter of this year. When you think about AWP’s guidance, first of all, the guidance that we’ve provided for the segments continues to be operative. Our not providing changes in the guidance is not in any way stepping back away from that guidance, but rather it’s still early in the year and we are heading into the prime selling season and so, we kept the guidance where it is and recognize that overall for the company it would be at the upper half of the guidance range. The execution of our strategic sourcing initiative and those savings which are going to grow over the year will drive margin expansion for the AWP segment. So, overall, we see AWP is well positioned going into the spring summer selling season and to drive growth and margin improvement in their business.
Jamie Cook : Okay. Thank you. I’ll get back in queue.
John Garrison: Thank you.
Operator: Your next question comes from the line of David Raso. Your line is open.
David Raso : Hi, good morning. For the first quarter on a pro forma basis, your company margins were up 9.3 versus the 8.9. And just thinking through the way you gave the EPS guidance for the rest of the year, can you help us understand for the second quarter pro forma, do you expect your margins to be up year-over-year flat for some perspective? Second quarter pro forma margin.
John Sheehan: Yes. So, you are on an apples-to-apples basis, year-over-year in the second quarter for the company as a whole, we would anticipate our margins to be up for the continuing operations. Now, that said, let me just – as we demonstrated on Chart 3 of our presentation material, the significant benefit or impact that the focusing of our portfolio had on our first quarter year-over-year results and we really tried to bring that out in the presentation. You see that our margins increased significantly. Our EPS increased from $0.55 last year to $0.87 this year or a 58% increase. So, you know, is that the focusing of our portfolio on our high performing businesses that are now outearning their cost of capital has been a significant contributor to driving shareholder value and yes, our margins for the company will be up for continuing operations in Q2.
David Raso : That’s I am just trying to understand sort backing you into a true full year EPS guide. Not just the upper-end of the range, because if your margins are up year-over-year pro forma in the second quarter, with a reasonable revenue number, just stay on track to hit the full year, it does seem to be implying a second quarter that’s $1.40 or $1.45 which would then, given the rest of your cadence implies EPS even a little bit above the high end of your range that you gave. And I am just trying to make sure we would level set here on the second quarter. Margins up sequentially, sorry, year-over-year, and the revenue numbers have to be $1.3 billion or so. It’s something that gets you on pace for the 4.7. So, maybe if you want to clarify exactly, what you mean by the upper half of the EPS range, just we all level set for 2Q.
John Sheehan: Yes, David, look, I appreciate your thinking to – to back me into or back up into stronger guidance. I think we should be clear. We had a very strong Q1. We are very pleased with the results of our businesses. And we are well positioned with the very strong backlog going into the strong spring and summer selling season. And as a result, we indicated that we would be at the upper half of our guidance range and as we expect 2019 to be a very strong year for Terex. But we also believe that we will have much better visibility to provide a more definitive set of guidance once we get – for the full year, once we get past the second quarter. And I think I could leave it there.
David Raso : Good luck. And the proceeds from the sale during the course of the year, how quickly can we assume the use of those proceeds, I know that’s not in the guide currently. But proceeds in the door, when will we expect those to be put to work?
John Sheehan: So, the proceeds from the sale of the Demag business, we continue to expect the Demag sale to close mid-year. We are on track very well with that transaction and we would put those proceeds to work immediately because as we indicated in our Q4 earnings call, we would intend to pay down borrowings with the proceeds.
David Raso : Thank you.
John Sheehan: Okay.
John Garrison: Thank you, David.
Operator: Your next question comes from the line of Joe O'Dea. Your line is open.
John Garrison: Hi, Joe.
Joseph O'Dea : Hi. So, similar to the walk you gave on AWP margins, if you think about the material Processing Margins that were very strong in the quarter. Could you give a little bit of the bridge of the contributions there? I think FX is instead a tailwind for MP in the quarter. But just so we know, kind of what the benefits were and maybe some of the considerations moving into the rest of the year?
John Garrison: Yes, sure. Well, Joe, and again, at somewhere AWP, I think I’ll just provide some overarching market commentary and then have John talk specifically to the margins. But again, as we indicated in our prepared remarks, MP continues to strong execution with their sales up 10%, backlog up 11% and margins, significant margin improvement of up to 250 basis points and that’s really coming from strength across the portfolio of businesses within AWP. Our core Crushing and Screening business continues to grow as relatively stable in North America. But we saw a good growth in the global markets and strength in the emerging markets. The other business that continues to perform well and a good recoveries in our Material Handling business, our Fuchs business. We saw a broad based growth there. One of the benefits of high steel across the – is that this segment scrap steel has remained high and that stimulates replacement demand in that business. We've also expanded our global distribution and expanded our product lines. So we are seeing good growth in Material Handling. And then, our Environmental business, as I mentioned in my comments, we got a new factory there in Northern Ireland for our Ecotec line. We are seeing good growth in the Environmental business, especially as regulatory rules around the world change for the processing. We can finally, our North American concrete business, we had good orders in Q4, so we went into the year with a much stronger backlog than the prior year. Overall, we are making some investments in capacity in our MP business to take advantage of the growth opportunities. We are investing in Northern Ireland and we are investing in our Hosur facility as I mentioned as well in my opening comment. So, overall, MP has been consistent. It’s a good story and what we are pleased about is it’s a much more important part of our overall focus portfolio going forward. So, that’s kind of a macro look in MP. John, do you want to talk specifically on the margin side?
John Sheehan: Yes, thanks. So, Joe, what I would say with respect to MP margins, is I would focus on really four factors in this business also. First is that revenue for MP was up in the first quarter year-over-year by 10% and the one thing that the Materials Processing team does better than anything else is execute. And when they have strong revenue, they drive that revenue through operating performance to the bottom-line. And that was really the case in Q1. So, I would just say, operating leverage was by far the biggest benefit they received in the quarter. Two, second, was mix of businesses. As you know, the MP business is a – the MP segment is a collection of businesses. And we did see growth, especially in our Fuchs business line in the first quarter and that drove outsize the operating margin growth for the business. Number three, price cost is positive for the MP business year-over-year. They have benefited from higher price and given their costs are largely outsized their manufacturing was largely outside of the United States, they are not feeling the same cost pressure that for example, our Aerial Work Platform segment is feeling good steel prices here in the United States. And then lastly, I will acknowledge that the year-over-year change in the British Pound is a bit of a tailwind to them and they did benefit to a certain extent from that. So, overall, as we said in our prepared remarks, MP is really a consistent performer and they’ve really become an increasingly important part of our focused portfolio.
Joseph O'Dea : I appreciate the details. And then, one just related to those strategic sourcing plan for the year and the guide. It doesn’t sound like there was anything really within MP that drove kind of unusually high margins in the quarter and then there is a set up for AWP margins to expand over the course of the year. And given the size of the beat in 1Q, you could presumably have actually raised the range. And I guess the question is, the degree to which there is – you are keeping cushion in there just because of the uncertainty around strategic sourcing. And so, I think the risk being if there are any hiccups there. What is that due to the full year, but how guarded do you feel against that just because of what could be cushion in the guide.
John Garrison: Thanks. And so, if we look at the strategic sourcing as we said, Wave 1, a lot of the commodities were more oriented towards the AWP business. Also the respective volumes of the AWP business have enabled us to attract suppliers to that marketplace. We do have savings in the relative MP businesses. But as a percentage of the overall savings, it’s actually much smaller. Most of the savings this year, given the commodities are in the AWP segment. So, we will have some as we move through the year. But the biggest percentage of that of the savings is in fact in AWP as a result of the commodities and the respective volumes between the different businesses. So, yes, there is some, but it’s not the driving force in margin improvement throughout the year as it will be in AWP.
John Sheehan: Yes, I would just say, that the comment on our guidance is that, we did have a very strong Q1. W were very pleased with the results. The 360 to 420 guidance range is being in the upper half of it provides a potentially a very significant increase. But it’s early in the year. And while signs are positive for the year, I think that, once we get past the spring summer selling season here, we will have much more – much greater visibility to the full year.
Joseph O'Dea : Thank you.
John Garrison: Thank you.
Operator: Your next question comes from the line of Andy Casey. Your line is open.
Andy Casey : Good morning.
John Sheehan: Hi, Andy.
John Garrison: Good morning, Andy.
Andy Casey : How are you doing John? How are you John?
John Garrison: Good.
Andy Casey : So, I am going to beat the dead horse. I want to follow-up on some of the prior questions about EPS quarterly attribution. And I understand this you’ve answered a lot of the questions that have been focused on this. But I just want to revisit the seasonal attribution for the first quarter and understand has that increased permanently to the low 20s that’s implied by the performance and the outlook versus the original view for 15%? A lot of the questions are looking at the AWP comments. It sounded like it’s going to gain momentum through the year at least versus last year. Is the variance really just related to something else which may include conservatism? Or are we looking at just structurally higher contributions in the first quarter going forward?
John Sheehan: I guess, what I – let me try to make some comments and see if we address your question. First of all, from a structural perspective, as a result of the focusing of our portfolio on our high performing segment, AWP and MP the disposition of the Mobile Cranes businesses, we definitely have structurally lifted the operating performance of the company. And you see that with the dramatic increase in the margin that the business actually reported in 2018 of below 6% to above 8% in 2019. When you think about our Q1 performance, and you look at, I would say that a portion of our overperformance against the year was in the Corporate and Other segments. The Corporate and Other segment with the resegmentation we did in the fourth quarter does have our Towers and Rough Terrain – European Rough Terrain businesses included in there. Those operating businesses performed in line with the expectations we had for them. Our Corporate costs were lower in the first quarter. They are traditionally lower in the first quarter and ramp over the course of the year, but we did also see lower spending in our corporate cost structure in the first quarter of this year than we – than our expectation. Some of that maybe timing. It is our intention to capture that underspending for the full year and drive it to the bottom-line. So, we are managing our cost structure. We are investing in the priority areas in our higher margin businesses. And so, I do think that we have – I think you used the word permanently, I do believe that the higher margins you saw in Q1 2019 for the company is a permanent improvement that you will see on a going forward basis.
Andy Casey : Okay. Yes, the permanent was related to the attributions by quarter. Has that changed?
John Sheehan: You mean, to future years? Or help me with the future years?
Andy Casey : Yes.
John Sheehan: Yes. I think that, I think you can also think about that for future periods, yes.
Andy Casey : Okay. Thank you very much.
John Garrison: Thank you.
Operator: Your next question comes from the line of Seth Weber. Your line is open.
Seth Weber: Hey, good morning.
John Garrison: Good morning, Seth.
Seth Weber: Good morning. Following up on Andy's question, your prior guide had called for, I think a $75 million loss for Corporate and Other.
John Sheehan: Yes.
Seth Weber: And I think, it was like $5 million here in the first quarter. So, are you suggesting that we should still think about that $75 million as the right number or I am just – we are all just trying to kind of put these numbers together basically?
John Sheehan: Yes. I think that, as you saw our net operating costs in the Corporate and Other segment in Q1 was about $5 million. That compares to about $9 million in Q1 of 2018. So, slightly lower. I acknowledge that if you take 75 divided by 4 that that obviously five is much less than that. We would expect, as I said in response to Andy’s question, we – some of it – we do expect that to drive a portion, maybe a significant portion of the underspending in Corporate and Other to the bottom-line over the course of the year and we will also have greater visibilities for that once we get past the second quarter. So, yes, I would think about driving some of that savings against as being a permanent reduction in the $75 million number that we provided in our Q4 earnings.
Seth Weber: Okay. That's very helpful. Thank you. And then, my follow-up question is on - John, I think in your prepared remarks, you talked about some AWP shipments. Some customers pushed out from first quarter. I guess, my question is was that weather-related? And/or have those shipments occurred here in the second quarter? Thanks.
John Garrison: Yes, so overall, we would attribute most of the push out in the Q1 out into Q2 as weather-related. As John indicated, we always have weather in Q1. But the weather this Q1 was exceptional. Especially, as you looked at how it impacted our operations in Washington State in a duration of time that the plant and the shipping facilities were down, that also impacted customers as well in multiple areas. So, I would attribute most of the push out if you will to associated with weather and we’d expect to see that pick up in Q2. And as I said, we did see stronger momentum as we progress through the quarter in late into March with shipments. So, we actually begin – capacity constrained as you can imagine in the last week of March. So, good momentum and I think the push out and you can attribute to, most if not all to weather-related activity.
Seth Weber: That’s super. Thank you very much guys.
John Garrison: Thank you.
Operator: Your next question comes from the line of Joel Tiss. Your line is open.
John Garrison: Hey Joel.
Joel Tiss : Yes, hold on a second. How are you doing? All right. I am writing that. So, what’s everyone keeps asking the same question. So, I’ll try to go in a different direction. So once the simplification of the portfolio is done, how do we think or how do you guys think about capital reallocation? Is there going to be a little – you are still going to focus on debt repurchase and share repurchase? Or should we think about it differently? Or it’s too early?
John Garrison: Thanks, Joel. So, part of our overall strategy focus simplify and Execute to Win. I think it’s demonstrated, because this is a much stronger portfolio going forward. We’ve also, as part of that strategy had a disciplined capital allocation strategy that really spoke to making the organic investments in innovation and engineering, capital investments as required, strengthening our balance sheet and then returning capital to shareholders. That disciplined capital allocation strategy has not changed. Now, we are in our ongoing strategy instead as we review process and we obviously, we view that with the Board of Directors, but as of today, there is no change to our disciplined capital allocation strategy as we move forward. But I think it is clear the portfolio of businesses that we have now are much stronger than the portfolio of businesses that we had. And we also believe that there is opportunity to grow these businesses of both Aerials and MP around the world as we look at construction spend, but we also have to look at the adoption and the adoption curve. We talk about adoption with Aerials. But there is also significant adoption potential in emerging markets in our MP as people move to Mobile Crushing and Screening. As we move to processing more waste on the environmental stream. So, overall, we think there is good growth opportunities, organic growth opportunities in this businesses. And our capital allocation model, as it is today, it’s not – has not – it’s not been – it’s not modified. That’s obviously something we continue to look at. But right now, it’s the same capital allocation strategy that we have been executing for the last couple of years.
Joel Tiss : And can we spend a minute on the MP business? How many competitors are out there? Kind of any sense of what your market share is? I know, it’s a diverse grouping and diverse pieces. But is there any way to kind of seize the opportunity?
John Garrison: So, in terms of talking specific market participation, I will say this, we enjoy good market participation in our core crushing and screening businesses through our multiple brands. We enjoy a good market position in our Material Handling business. On the concrete part of the business, we are principally in two smaller segments. We enjoy very good market position there in front discharge concrete trucks, in pavers. And then, environmental, opportunity to grow. That’s a highly fragmented overall market. And then, finally, our Pick & Carry business down in Australia enjoys a significant market participation rate, especially in the Australian market. So, overall, these businesses that I think that's been a key of our focus strategy is, these are businesses that enjoy strong market positions, strong brands, good capabilities to drive innovation through their engineering and good distribution capability. And that’s what enables these businesses to grow and to perform. So, I don’t want to talk specific market participation rate, but each of these businesses. Our core businesses enjoy strong market participation rate and our developing businesses, they are highly fragmented markets where we are seeing rapid growth based on our capability. So, we are excited about the MP business and the other thing about the MP is the regional dispersion of the revenue. If you look at the revenue, it’s 35% in the EU, 35% in North America, 20% in Asia, six - I am sorry, 10% in the rest of the world. So you’ve got good geographical dispersion in this business as well. So overall, this is a business worth investing in. We are investing in this business and we think there is good opportunity in the future for our MP business.
Joel Tiss : All right. Thank you.
John Garrison: Thank you.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
John Garrison: Again, thank you for your interest and time in Terex. If you have any further questions, please do not hesitate to reach out to Brian, so that we can address those questions. And again, thank you for your time and thank you for your support of Terex.
Operator: This concludes today's conference call. You may now disconnect.